Chris Naprawa: Thank you for joining us. I'm Chris Naprawa, Chairman of Khiron, Khiron’s Board of Directors. And with me on our webcast today is Alvaro Torres, Chief Executive Officer; and Joel Friedman, Chief Financial Officer; as well as Franziska Katterbach, European President. Before we start, just the forward-looking statement. Please note that the following caution respecting to forward-looking statements, which is made on behalf of Khiron Life Sciences and all its representatives on this call. The statements made on this call will contain forward-looking information and involve risks and uncertainties including those introduced by COVID-19 pandemic. Actual results could differ materially from the conclusion, forecast or projection in the forward-looking information. Certain material factors and assumptions applying in drawing conclusion, and making a forecast projection are reflected in the forward-looking information. Additional information about the material factors that could cause actual results to differ materially from the conclusions, forecasts and projections in the forward-looking information, the material factors or assumptions that were applied in drawing a conclusion or making a forecast or projection reflected in the forward-looking information are contained in the Khiron Life Sciences filing with the Canadian provincial securities regulators, which are available on SEDAR and website at sedar.com. To provide a brief agenda, we'll start with a discussion of the quarter, where Alvaro will walk you through some of the key highlights and he turns it over to Joel to run through the financial results. After that, we'll dive into our guidance for 2022 for various growth scenarios there, including catalysts in each market that will drive growth. We'll wrap it up with a quick Q&A at the end. Now, with that, it is my sincere pleasure to turn it over to Alvaro Torres, CEO and Director.
Alvaro Torres: Thank you, Chris. Thank you everybody for tuning-in in this call. Four years ago, we founded this company with a goal of improving the quality of life of patients and consumers through the applied use of cannabis. As you know, Khiron is a B2C medical cannabis company, and we are focused on building brands. We are focused on building relationships with doctors, with patients and insurance companies, and we're focused on generating value versus exporting commodities in a raise to the bottle. When we think about being a B2C company in the international markets, that means speaking every day about building and generating demand. And to generate demand, we need to think about and solve for evidence, quality and access. So without evidence, doctors will not prescribe medical cannabis. If the product quality is not good, and by that, I mean, consistent and safe, patients will not take on and continue the treatment. And without access, and I mean distribution, insurance coverage, good helper service and governmental support the recent market. Because of this, we created our business model. We are focused on servicing patients through great health care, and you see this as a platform to introduce patients and doctors medical cannabis in a responsible manner. Our medical cannabis sales grew by 47% to C$825,000, maintaining a gross margin level of 88%. We are able to achieve this because we focus on creating high value for our patients. These results were largely because of the growth in Colombia and because of the acceleration of sales in Germany. And this rate of growth and the catalysts that I'll be talking about very soon in the immediate future, gets us very excited about the path that we are creating. As you know, we acquired our clinics almost 3 years ago because we believe that to build the market we want to be in, we need a strategy to solve for these issues. So today, we see our clinics are generating data that is creating real-world evidence that is driving prescriptions and credibility. Because of this evidence, we're able to convince and persuade insurance companies and the governments that medical cannabis is not a fad, that medical cannabis is not a trend, that is good for patients and it's less costly. That makes medical cannabis a disruptive force. And the clinics allows us to provide access to our pharmacy or partnering pharmacies through our conversations with insurance companies and through our service. And in the back of this, we're able to sell a great medication that is improving the quality of life of patients. When I look back at our Q2 results, and I think they continue to showcase that we're on the right track and with the right acceleration because, one, we are growing in the medical cannabis sector in every market we are entering; two, that our B2C strategy is producing strong profitability; three, that our vertical integration strategy is the best path towards growth and that we need to deploy this clinic strategy in our target markets wherever possible, as fast as possible; and forth, that Europe is becoming a significant part of our medical cannabis operations. We are, without a doubt, the leading company in the Colombia medical cannabis domestic market. I think this is, thanks to our vertical integration strategy resetting a good level of our products and increasing number of patients that are benefiting from our treatment. The last few months have encouraged us to continue moving forward with the strategy and deployed our clinics in Mexico, in Peru, in Brazil and in the UK. We know how to prescribe medical cannabis responsibly. We know how to persuade doctors into prescribing because we are creating a level of evidence that very few companies can talk about particularly in our regions. We know how difficult it is to persuade physicians to prescribe cannabis, and we have created an ecosystem of evidence and education that needs to be deployed faster in every market that we're targeting. Very soon, we will be making our first publication in an indexed medical journal, showcasing the real world evidence we have collected with more than 1,400 patients in Colombia, all of them with [indiscernible], and we plan to launch more publications for different conditions in the coming months. I think you can agree with me that this will create a level of credibility worldwide that very few companies can enjoy, and that will drive more prescriptions across all our markets.  We are executing plans to finish this year with sales in Mexico, Colombia, Peru, Brazil, UK and Germany. Our clinic strategy will certainly be a big part of this, which is all about creating demand, generating real-world evidence, developing new products and increasing profitability. And of course, we have to do this while we continue to be mindful of our cash investment, our collection of revenues from our clients, our management of expenses and the well-being of our team and the patients who are responsible for the successful path that we are creating. With that all being said, I'd like to ask Joel, our CFO, to provide more details on our Q2 financials before I come back with Franzi talk about a little bit of operational highlights, our guidance that we've talked about in MD&A and a quick Q&A session.  So with that, thank you. Please, Joel.
Chris Naprawa: Joel, you're on mute. Joel, you're on mute.
Franziska Katterbach: Shall we just continue overall and maybe then go back to Joel later on, once he...
Chris Naprawa: Yes.
Alvaro Torres: Okay. Absolutely. So we will continue the operational while we get Joel back online with the discussion of the financials. All of that information is already set up in our MD&A for which we also open up a little bit more discussion about our operational metrics and our financial results, which are basically growth on the medical cannabis business, maintaining the profitability level and our ability in the clinics to capture more demand and the important fact that Europe is becoming more and more, a more important part of our revenue and our profitability, the reduction of our cash expenses for the quarter and the continued ability we have to keep reducing our overall SG&A while we continue to grow and the excitement for the future. So before we get into Joel, I'll get into the operational highlights, with Franzi. So I'd like to begin by discussing our Latin American operations and then Franzi will come in and talk about the Europe. Franzi is now our new President for Khiron Europe. So overall, we sold over 11,300 prescriptions that is almost twice as much as we saw in the entire 2020. We are in the very early stages of our growth and we’re very excited about our next few quarters. You think about July alone, we sold 2.5x more than what we did in the entire month of January this year. And 91% of our product sales in LatAm came from our clinics in the first half of the year. In Latin America for this quarter, we are reporting sales in Colombia and Peru. And as you all may know, we just recently shipped up first shipment into Brazil. Now let's talk a bit more about Colombia. In Colombia we have 2 main sources of revenues. One is health services. So we provide health services to our clinics. We are focused on chronic pain, neurology, sleep disorders and mental health. We offer integrated services that include consultations, procedures, neurosurgeries, therapeutic support and sleep diagnosis. In Q2, our revenues for health services, excluding medical cannabis, were reduced by 15% compared to last quarter, but we grew 19% year-over-year. Now the main reason for this drop is that the impact of the COVID-19 restrictions on our high-end surgeries. In March of this year, in Q1, when Colombia was reducing the number of COVID cases we were able to perform more than 16 of these high-end surgeries, which took our monthly revenues in the clinic to C$1 million per month. Now in Colombia, as you know, we entered our third wave in March all through mid-July. That caused, of course, more restrictions on the services coming down from 16 in March to 6 in June. Now what that really means for us is that today, we have a backlog of over 42 surgeries that are scheduled to be executed within the next 5 months. That represents about C$1.3 million of revenues that we will get back throughout the year on top of the revenues that we're already doing every single month. So those revenues are not lost, they have been delayed. As you know, Colombia has reduced cases from 30,000 cases 3 weeks ago to almost 2,500 cases. So we are in the right trajectory when it comes to COVID restrictions.  And despite that, now we maintained our consult levels from Q1 around 24,000 consults and increased them by 77% compared to last year in the same period. I think most importantly, our conversion rate from consults to medical cannabis patients grew from 25% to 31%. I think our ability to continue growing monthly consultancy is great. We have a current installed capacity of over 50,000 consults per quarter, and we will see a greater number of consults now that restrictions on patient visits are being reduced. Now when it comes to medical cannabis, I think that even with all the difficult circumstances regarding COVID-19, we serviced over 7,300 patients with medical cannabis. This is 24% more than last quarter. But also very important is that the average units sold per patient grew from 1.3 units per month in Q1 to 1.5 units per month in Q2 per patient which resulted in almost 11,000 units sold in the quarter that is 43% more than Q1 with an average selling price of C$50 with a gross profitability of over 80%. Now the reasons for this growth could encapsulate in a couple of reasons. One is that there's more willingness to prescribe from our doctors, and there's a growing number of doctors who are prescribing. In Q1, we had 28 doctors prescribing 3.5 prescriptions per day. And in July, we had 36 specialists prescribing 5 prescriptions per day. Now the second reason will be the continuing number of returning patients. In Q1, 48% of the patients were recurring. And in Q2, that number went up to 61% of the total patients serviced with medical cannabis. So not only are we having more doctors prescribing, but we're also having a lot more patients returning. Now one of the key factors for this is insurance coverage. And as you know, Colombia is one of the few countries in the world like Germany, where medical cannabis has grown. One of the biggest challenges we've been having always is convincing more insurance companies to open their processes to include medical cannabis. In Q2, around 50% of the total units sold were covered by one insurance coverage company. In our last call, I think, I mentioned our goal of convincing more insurers and just last week, we started prescribing an initial population of patients belonging to another insurance company, which is, by the way, 1 of the top 3 insurance companies in Colombia. I think it's just a matter of time before the rest of these companies begin doing the same. Now why are we able to do this is because we are generating tremendous amount of data on the pharmacoeconomic benefits of medical cannabis. So as we keep converting more patients in some cases like we are today, we're taking some patients off of it, more insurers will be convinced, and we will continue to grow exponentially. As you know, we have now 10 clinics in Colombia, 3 main health centers in Bogotá where most of the patients ongoing and another 7 satellite clinics in other cities in addition to the telehealth platform, which is called Dr. Zerenia. These doctor clinics are small, one doctor, one nurse. And for now, they have limiting staff capacity. As we keep growing, we will add more consult capabilities in each one of the cities. But the conversion rates, the conversion rates of patients in these clinics are above 80% whereas in Bogotá, the conversion rate is above 25%. This happens because patients that come to Bogotá are not necessarily looking for medical cannabis, whereas patients that go to our clinics in Medellin, in Barranquilla, in Cali are actually actively looking for medical cannabis. I think in the first half of our year, our satellite clinics and the telehealth accounted for more than 12% of the total consults. And that expansion of that install capacity is going to provide great growth for us. I think, of course, we are very excited about the growth we're experiencing, more excited about the fact that we're doing it in the middle of the third wave of the pandemic. And I think that as more cases going -- keep going down or coming as vaccinations are going up, we are continuing to prove that the vertical integration model works, and that we're providing month-on-month growth and that we keep maintaining a very high profitability and it's a matter of time before we want to expand this model in other markets. Now what are the catalysts that we're looking for in Colombia that you should all be looking for is, of course, one, more insurance coverage. As I said before, we are now working with 2 of the largest insurance companies in Colombia. The more data that Zerenia generates, the more tools we have to convince the insurers. We're able to show them a very significant reduction on their average annual expenditures for chronic patients -- chronic pain patients. And when you start to show insurers that we can save you money with a proper treatment, that we can actually show you that there's a lot of patients that are improving the quality of life. It's just really a matter of time. Now of course, also recently, the Government of Colombia issued a new decree in which they allow the dispensation of medical cannabis across pharmacies and drugstores. This is very important to us because most insurance companies have pre-established relationships with large pharmacy chains. So the more access the government is now providing, the more conversations and the easier it gets and the less impediments we have towards universal health care coverage, which is the goal of the company, which we will then take to the rest of the countries like Mexico, like Peru and like Brazil. Now we are also looking to launch a new set of product categories such as our medical-grade topicals for pain. Today, as you know, our pipeline is comprised of 5 different [topicals for pain]. And now with these topicals, we already began final programs in the clinic, so we can start generating medical evidence on these topicals, and that will give us a unique medical backing. So be attentive, we're going to be launching these products very soon. And I think with the number of patients that have asked for these type of topicals, creams with very high quality, we'll be making a very good growth in our revenues in Colombia. We are also planning to launch a new line of veterinarian medical products in Colombia. There is a favorable regulatory framework, and we have been approached by several prominent veterinary clinics, veterinarian doctors who want to take our science-based approach and give it to a big population of pets and [masters] that have already increased with the pandemic. So we're going to be launching that also very soon. I think that will also be a catalyst for growth for the company in Colombia. Now moving on to Peru. As you know, we began sales better than last year. And even though we grew 21% quarter-over-quarter, our Peruvian sales still represent a small fraction of our LatAm sales. 51% of the units are high THC and 1:1. And even though we have grown in the total number of external doctors that are prescribing, I'm very sure that we’ll do a lot better. Now I said before that we believe that our clinic strategy is the key to the underrating demand, and this is why we partnered with Clinica Montesur in Lima. And then last 1.5 months, we have dedicated ourselves to systems, infrastructure setup, soft opening, training, bringing doctors from Peru to Colombia. And now with all of that done, we're able to open the clinic fully commercial operations in the beginning of September. So I think we will see an uptick in prescriptions and we will generate demand like we have seen in Colombia. Now in Peru, we've also been working in parallel for certain important things that are key catalysts for our company. First of all, about a week or so, Khiron was awarded its first-ever medical product registration by the local FDA and across Latin America. The brand of the product is named Alixen. It's a CBD, 30 milligrams per milliliter approved product. I think what's exciting about it is that now we can sell this product in any pharmacy in Peru and not just in Lima as we're doing today. That also means that any patient with a prescription can pick up their medications anywhere in Peru. So right now, the team is working on codifying this product into as many pharmacy chains as possible, and I think that will also provide a big uptick in our revenues.  Now we're also going to introduce a new medical grade topical portfolio for pain in Peru based on what we're doing in Colombia. And I think we could be looking at an early Q4 introduction for these topical grade products and that will continue to drive more growth for us. When we look at Brazil, it's a market that you know we have been after for quite some time. I am very proud of the team that we were able to find a regulatory and compliant manner to take our Khiron branded product from Colombia into the hands of patients in Brazil. I think as far as I know, this is the first branded medical cannabis product from Colombia into Brazil. And I think that opens up a credibility of the company that we are able to deliver a product that's actually also a lot less expensive than the rest of the products out there today in the market. We recently announced the entry of Dr. Eduardo Faveret as Medical Director for Brazil. Eduardo, who was just here last week, is considered to be like some say the Neymar of medical cannabis over there, he's prescribed more than 3,000 patients. I think having him in our team is very positive. He will drive prescriptions. He will drive training, and it's not going to be only based on his experience, but on the tremendous platform we have created at Zerenia that we will provide to his seat. We have proven our ability to deliver the medication capacity.  And as I said before, with a significant cost discount, and we will begin to work on the introduction of -- sorry, THC products into the country very soon. Right now, we are looking for locations for our new flagship Zerenia, most likely in Rio de Janeiro. I think we are very certain that we know our clinics are the go-to-market strategy for us to build demand and we will execute on this as soon as possible while we figure out new partnerships to expand Zerenia into 2022.  And lastly, Latin America, I want to talk about Mexico. Mexico is a market that we are very close to, as you know, former President, Vicente Fox, is a member of our Board of Directors. In the past few months, we have been working closely with him to set up our operations and execute important partnerships that will cement our leadership position in Mexico. We recently announced that we obtained quotas for THC exports into Mexico from the Government of Colombia, and this milestone is very important because we can start to plan and executing a lot earlier than we thought at the beginning of the year. In the meantime, we are finalizing more agreements with manufacturing companies that will manufacture our Khiron-branded products in Mexico. And very soon, we'll be exporting our first CBD shipments. So we all have to be on the lookout for that. Our goal in Mexico is to become market leaders. We want to deploy our clinic business model just like we do in Colombia, but at a very much larger scale. And thanks to President Fox, we are making great progress with large health care institutions to be able to position Zerenia in as many cities as possible, as fast as possible. We will bring a level of real-world evidence, product quality and access that will make Mexico very successful for us.  We have already closed, for your information, an NOI, with a prominent oncology center with more than 5 locations nationwide as part of these initiatives. And we will be announcing a lot more NOIs and partnerships with bigger, large medical institutions, so we can put up Zerenia in as many places as possible. There will be a lot of news flow coming in the next few months. We have already closed an agreement with a clinic operator so that we can set up Zerenia almost immediately now that we have all the permits and administrative process back office that we need to set it up. And so the news flow out of Mexico would be very interesting. I cannot be more excited about the possibilities. I think that the more our model proves to work in Colombia, the more excited we are about the market that is 3x as large as Colombia. So with that, I'd like to introduce you to Franzi, our President for Europe, and then Joel will come in with the financial review. I think that Europe is a market where we can be very competitive, bringing our strategy to countries like the UK and what we're doing in Germany. Now this Q2 begins to show why we decided to enter. I mean Europe accounted for 26% of our medical cannabis sales and for 30% of our medical cannabis' profitability. So it's becoming and it will be a major driver for growth and profitability for the company. So Franzi, welcome, and please tell us a little bit about what we've been doing in Europe? I think you're on mute, Franzi.
Franziska Katterbach: Can you hear and see me?
Alvaro Torres: Yes.
Franziska Katterbach: [Foreign Language]. My name is Franziska Katterbach. I'm President of Khiron in Europe since June this year, and I'm happy to say that right now, I am exactly where I want to be. I joined Khiron almost 2 years ago after I met Alvaro and Chris in Bogotá, and I saw the team and the vision, which clicks right in the soul. After my visit to Bogotá, I started with a very broad mandate of building Khiron business in Europe, which is exactly the challenge I want to have. Before this, I was working for Canopy as Director of Legal in Europe, where I helped building the medical cannabis business in several European jurisdictions since 2016. I have almost 8 years of experience in the European medical sector and 5 years of this -- the medical cannabis business in Europe. So much for me, let's talk about business.  Our sales in Europe are driven by the sales of high-quality products in Germany and in the UK [technical difficulty] of the total [technical difficulty] which was up more than 400% from last quarter. I'm very proud to say that within a few months, we captured 1% of the dried flower market share in Germany and 40% of dried flower market in the UK. I think my camera isn't working and that's [technical difficulty].
Alvaro Torres: Franzi, best if you put in yourself out of video and let's see if yes with the audio.
Franziska Katterbach: Yes. I was trying to putting it. So let's talk about Germany. Home sweet home. I would like to start with a brief overview of the German market. So far, Germany has 8 million to 10 million people suffering from chronic pain, it's roughly 8% of the population. And if you take this conservative number, these are kind of patients which can potentially benefit from cannabis-based medication. In Germany, generally, every doctor can prescribe medical cannabis since March 2017, which means we are now in year 5 after legalization. So far, we have between 60,000 and 128,000 thousand patients, and this is roughly 0.1% to 0.3% of the market. If we justified very conservative number of the Canadian market, which is that 1% of the population can be cannabis patient, there's still a lot of room to grow. Cannabinoid-based medications are reimbursed like in Colombia and up until now, roughly 70% of the scripts are reimbursed. The majority of scripts, to give you an overview of the split, is for high-THC dried flower, it's roughly the dried flower market is at 45%, isolates make 30%, finished pharmaceuticals make roughly 20% and extracts around 5%. Germany, as we know, is the most mature market for medical cannabis in Europe, but there's also some good news for us. There's still no defined market leader yet. And this means there's still a void which we, as Khiron, can fill. As the markets in Europe and Germany goes more mature, we also see that the patients get more mature. So it is given that products have to comply and have to grow under new GMP standards, but the patients are looking for more. They're not only looking for certain THC and CBD ratio, but they're looking for strengths and they're looking for brands. So they become new to product and service. We, at Khiron, we're truly patient-focused, but what does that mean? It means that we work backwards. We think what does the patient needs and then we look how we can get it. Generally, we believe that every dosage format has its use for patients, so dried flowers, extracts, isolates, everything is there for a reason, and we're not agnostic here. Big question, why are we growing in Germany? I think we're growing in Germany because we do things different because we know our customer. First of all, our very experienced team has a close ear to the market and understands the needs of patient. And as I already mentioned before, the needs of patient develop over time and they can also change. At the same time, our amazing sales force is able to convince doctors to write a Khiron script, which is the legal requirement in Germany. So taking a step back, in Germany, it's not that a doctor writes a script with dried flower, 20% THC and then defer the dispensation decision to the pharmacist. In Germany, the doctor would have, in our case, to write a script which states [Khiron 21]. And then the pharmacist has to dispense exactly that product and cannot substitute with another one. So what makes us different in the eyes of the doctor? I think it's certainly our people, our dedicated team. It's our product portfolio and it's also our real-world evidence from Colombia and the UK, which helps us to generally persuade doctors of the benefits of medical cannabis, but at the same time, convince them about our product portfolio. Together with our strong distribution partner in Germany, we're also able to talk to the pharmacists and understand their preferences and needs, which don't have to be the same as the doctor wants or the patient wants. So altogether, I think, we truly understand all of our customer categories, which is patients, doctors and pharmacists. By doing so, we're able to grow sales of medical cannabis in Germany by 265% in comparison to Q1, which was heavily supported by the introduction of our new product category, which is the [Khiron 21]. It is a high THC dried flower product. Now let's move on to the catalysts, which I think you, as our investors, are predominantly [technical difficulty] how we need to grow further? One catalyst will be that we will very soon introduce new and more importantly, exclusive products in different categories. Our goal ultimately is in the future that every patient finds within the current portfolio the product that they need that they're looking for. Another catalyst is, is our genetics. We have released that we successfully imported our live clones and genetics from Colombia to Europe. And as we're now speaking, our varieties are grown within Europe, and I can already tell you that they look very promising. Finally, let's talk about the Colombian decree. As you know, the Colombian government recently approved the export of medical dried flower. And this is a huge opportunity for us in Europe and in Colombia, when the Colombian market comes online [technical difficulty] it still takes some time as to the laws are final. We are very excited and waiting for this. But in the meantime, and always in parallel, we focus on the sourcing local from our European side partners. Let's go up the floor to the UK. As you might know, Khiron was a founding member of Project 2021 in the UK back in 2019. Through Project 2021, eligible patients can get access to affordable cannabis treatment. The project overall aims to create the UK largest body of evidence for its effectiveness and tolerability for medical cannabis, and the end goal is that [technical difficulty] the benefits of the treatment with medical cannabis is proven to outweigh the potential risks. We are proud that we were able to gather a 40% market share of the dried flower product. And in Q2, we increased the medical cannabis in UK by 475% from Q1, which is the big achievement of us. Now that we did that and that we became a really recognized brand within this project and in the UK overall, we think it's the exact right time to deploy our UK -- our Zerenia clinics in the UK. And we are targeting to open our first Zerenia clinic in UK very soon. Why would we do that? Alvaro already explained our model. And I think we learned from our Latin experience that the clinics model decently works. In the UK, we started with 2021 to serve for the demand at the beginning. And now that we build that and then seeing success, we think it's the right time to build that out further as the UK market is still at the very, very beginning and still heavily undersupplied, and we want to solve for that in order to help patients. Another cornerstone in the UK is our Khiron Academy. Khiron Academy is our medical cannabis e-learning platform that has been completed by hundreds of physicians across LatAm, but also in Europe. And it was just recently accredited for UK CBD, and this means that a doctor who is completing our online course gets -- he receives CBD credits for continuous education. In addition, in the UK market, like in Germany, want to deploy new medical product categories sourced within Europe so far, hopefully very soon coming from Colombia. Overall, one of the key aspects to our strategy is our unparalleled differentiator is the real-world evidence, which we already collect for a long term in Colombia and at the same time for Latin UK. Because with this, we can pursue doctors to prescribe medical cannabis and show them that it's safe. As Alvaro mentioned earlier, we will soon make our first publication in indexed journal, and this will create a massive credibility in -- within the bloggers community in UK and Germany. We are really looking forward to it. And it's exciting to think about the amount of data and evidence we'll be collecting just within Khiron in the future. And I used to say that -- I call our data set really our treasury chest, which it truly is.  So thanks a lot. Thanks for listening. I think we have exciting things to do in Europe. And then now we want to give back to Alvaro. I just want to let you know that really the European team is working 24/7 to make Khiron a success, and this quarter shows that we're definitely on the right path. Thanks.
Alvaro Torres: Thank you, Franzi. Appreciated. Joel, can you take on the discussions on the financial results for Q2, please?
Joel Friedman: Yes. Thank you, Alvaro, and apologize for the technical difficulties, everyone. In Q2 2021, the company reported revenues of $2.8 million, consistent with record revenues of Q1 2021 as increases in medical cannabis offset a decline in health services. The devaluation of Colombian peso resulted in a decrease in Canadian equivalent revenues of approximately 7% versus Q1 2020. At stable exchange rates to Q1, we would have seen another quarter of record revenues of approximately $3 million, with higher revenues in all segments. On a year-over-year basis, revenues were up 68% due to medical cannabis contributions and normalized clinic levels. In medical cannabis, we generated over $825,000 in revenues in the second quarter, which represented an increase of 47% over Q1 2021 and a contribution of approximately 30% of total revenues compared to 20% in Q1 2021 and less than 1% a year ago. The largest contributor to sequential medical cannabis revenue growth was from Europe, with year-to-date revenues of approximately $270,000 where sales increased 280% sequentially and contributed 60% of our Q2 medical cannabis sales growth.  Subscription volumes in Latin America also increased significantly, over 40% from Q1 but revenue in Canadian dollars were impacted by the devaluation of the Colombian peso and lower unit pricing associated with increased B2B sales. Looking at our Health Services segment, which includes revenues and costs from ILANS and Zerenia health centers, revenues in Q2 2021 were $1.9 million reflecting a 22% increase year-over-year, however, a 13% sequential decline from the prior quarter. On the 13% decline, approximately half related to the foreign exchange rates, while the remainder was larger result to reduction of high-margin services such as the surgeries as Alvaro explained. As we noted, certain surgeries could not be provided, but we have the backlog of services that we expect to contribute to operating activities over the coming quarters. As mentioned a moment ago, 30% of total Q2 revenues were attributable to medical cannabis segment. Quite significantly, medical cannabis contributed about 70% of gross profits of about $750,000 for the quarter. In the 90% range, medical cannabis margins remained high and were consistent with the previous 3 quarters. Medical cannabis growth offset the reductions in health services, where growth profit declined to 16% of revenues below the 25% margin in Q1, but consistent with the prior year. As was explained by Alvaro, the margin compression from the health services were driven by the deferral of high-margin services, and we expect these contributions to come back over the coming quarters. Despite the weakness in the clinic segment, I want to highlight that we still achieved consolidated gross margins in line with our highest levels to date, driven by the growth of medical cannabis revenues. Looking at expenses, Q2 2021 total expenses were down about 1% versus the prior year and 6% from the prior quarter. Our SG&A costs, which excluded share-based payments and R&D were down 15%, or $0.9 million, from Q1 2021 as the company continued to manage spending and benefited from the weaker peso. Looking at EBITDA. In Q2 2021, we recorded an adjusted EBITDA of about $3.85 million, a 5% improvement from Q1 2021 as medical cannabis operations continued to contribute and these levels were consistent with Q2 2020 when operating activity was suppressed due to the COVID-19 restrictions. Looking at our balance sheet. We finished the quarter with $9.3 million in cash. We had a cash burn from March 31, 2021, about $3.2 million; $1.7 million in debt, which is largely comprised of our lease obligations. The loan obligations in Colombia continued to reduce in line with normal payment schedules, creating opportunities for us to leverage our balance sheet to support our continued growth. In early July 2021, we completed a financing that brought our pro forma cash position over $20 million, positioning us well to continue to execute with our major capital investments behind us based on our current operations. I'll turn it back over to Alvaro, who will discuss the -- more of the outlook for the coming quarters.
Alvaro Torres: Thank you, Joel. So in our MD&A, we talked about -- we provided revenue guidance for the first time, and I think that's -- we're able to do that because the continuous growth that we're seeing in every market that we're in. And in this guidance, we talked about a run rate of at least minimum $1 million per month in medical cannabis in addition to the $1 million in medical services that we already achieved in March. So how do we get those to those $2 million a month with that same level of profitability within the next 6, 9 months? Is really continuing to grow at a market rate of about 35% to 40% quarter-on-quarter in every market that we're in. I mean that's lower than the historic quarterly growth that we've had. We are entering Mexico. We're entering Brazil. We are opening clinics in the UK. We are opening our full commercial operation for Peru, and Colombia keeps continuing to grow very significantly as same as in Germany. So what that gets us to when we get to that point very soon, is an annual revenue of between $24 million and $35 million of 2022, mindful again, with the same level of profitability where as close as possible to that above 80%, which is something that not many companies in this region can claim to do. The reason we've been waiting to be able to do it because we want to continue to show that our business model works. And now that we have that a higher confidence level, we are able to provide that guidance, a lot more details on that are within on the MD&A but at the rates that we're growing, this is something that not only can be achievable, but they can also be much higher than what we expect in that range that I just mentioned. And this is done only through organic growth, setting up what we've set up for the last 2.5 years, that's now shown to be very fruitful and profitable for us in the next couple of quarters. So please, you can look at the MD&A for this. And I think we'll start to see a lot more of those results as we keep talking about all these catalysts that I just mentioned, in each one of these countries. Each one of these countries we're working on certain -- several things that are going to continue to expand on that growth. And I guess, very excited about showing that our business model works, that it takes a little time always as good things that are sustainable, take time. But we're very excited about it. We are -- we see what's happening on the ground and we see the success that we're having. So with that, we got a couple of minutes more for questions, about 10, 15 minutes. We've been having a lot of questions here in the chats. So maybe, Chris, you want to moderate and Franzi and I will make ourselves available to answer. If we are not able to answer all those questions, please write back to Paola Ricardo. She's our IR Manager. She's in Toronto, and she will get promptly back to all of you if we are not able to answer all your questions. So with that, Chris, why don't we get into the Q&A?
A - Chris Naprawa: Sure. Thanks, Alvaro. And so the first question is from Federico. Wanted to know about as the EMEA expansion in Germany and other European countries, including UK and Portugal. I think you've covered off a lot of that, but maybe just highlight what our Zerenia expansion plans are?
Alvaro Torres: Yes. Germany, it's not something that we can actually do just because of the regulations. But I think the German market is sufficiently strong enough that we don't need to build that demand. But certainly, we're going to do this in the UK. Franzi was just last waiting in London, and we'll be setting up our Zerenia there very shortly.
Chris Naprawa: All right. So next question from Fred. How do you stack up in Colombia against the other competitors? Maybe just talk about our market share and what's going on in Colombia/
Alvaro Torres: I think I said it before, I think, we are the clear leaders in Colombia. We have more than 90%-ish market share in the insured market, I don't see anything like Zerenia anywhere here. And I think, of course, most companies are focused on the B2B business of cannabis, which is not something we do. But I would say that we are enjoying a very good market share, and we'll continue to do that as we keep growing our clinics and our revenues.
Chris Naprawa: The next one is about when do we plan on ramping up Kuida sales?  I can answer that one that we're really focused on the clinics and medical cannabis where we won't be spending a great deal of capital on that product line at this time, even though it is such a great product. Next one from Larry about Mexico. How many clinics we have -- expect to have up by the end of the year? I think you talked about that in your remarks, but maybe you just highlight the Mexican strategy.
Alvaro Torres: Yes. Larry, I'm not going to give away a specific number of clinics that we want to close by. I think our main focus right now is to set up as many partnerships as possible. But we certainly want to start with one. But on the back of doing and showing investors the pipeline of big clinics that we'll be setting up there very, very soon. But right now, I think, we are doing the right conversations with all the right groups. But I'll give you an example. We have 10 in Colombia and Mexico is 3x as large. So when we think about Mexico, we've got to think in the 20s and 30s. And just a matter of the right capital deployment strategy, the right strategy and partnerships, and it doesn't not only necessarily have to be all on the back of our own capital like we're doing in Peru.
Chris Naprawa: Okay. This next one is important from Tommy talking about the share-based compensation that we recently announced. And I think that's important that you cover that off.
Alvaro Torres: Yes. Well, I think, we have a company where we have very committed employees. We gave 1.5 million shares to almost 95% of our employees from the lady that welcomes people at the clinic, all the way up to vice presidents who are making a lot of these things happen. We need our employees to be compensated and to think about the future and what they can do with that equity. I don't think there's anything ever a non-successful company that doesn't get their employees involved in the success of the company. And when you talk about giving 1,000 or 2,000 shares to the nurse that's picking up patients, that means a lot to that person, I think that level of commitment. This is why we are seeing our results. This is not happening by accident. This happened because there's a committed team that’s every day thinking how do we grow. And I think it was good for the Board and for the company to recognize all that effort, particularly on the pandemic and everything that everybody has done to get us to this point.
Chris Naprawa: Yes. The next question here is related to the insurance providers. I don't think we put out a press release with our second insurance provider. But guys, sometimes, we can put things out as we have consent of our partners and sometimes, we don't. And it's just really important to focus on execution. And -- but what you see in this disclosure here today, not only with this broadcast, but also in the MD&A, I think, you're seeing a super high level of disclosure. We're telling you just every detail we possibly can and being as transparent as possible. This one is for Franzi. Any thoughts on competition and price in Germany? Are we taking -- are we bringing in new patients? Are we taking patients away from competitors in Germany?
Franziska Katterbach: Yes, we do. So it's very easy terms, yes, we're gaining market share for the big ones because the market is still growing. And if you look at the like established or more established brands are using market share quite a bit. So yes, we're taking market share away. And on the pricing as it is reimbursed -- pricing is not primarily important here, but we can offer very competitive prices in both Germany and in the UK.
Chris Naprawa: Another one for you, Franzi. Do you expect insurance coverage in the UK in the medium to long term?
Franziska Katterbach: Well, I personally expect governments overall over the whole world to kind of cover and reimburse a treatment which is necessary. We have this in Germany, we have this in Colombia, just the write-back. And the UK 2021 trial was set up in order to convince the NHS, which is the regulator to in the future also cover these products. So I'm hoping for it. We're working on it. But when this will happen? It's difficult to say.
Chris Naprawa: Another question here because Joel commented on currency fluctuations in Colombia and do these fluctuations concern you? Our revenue is spreading out over many different countries and territories right now, and people need to understand, like even though we've had fluctuations in the Colombian peso, our costs are in Colombian pesos as well. So although the only thing bugs us is that doesn't reflect our top line growth that is, obviously, there. But these things have a way of turning around as well.
Alvaro Torres: Also, Chris, I would say that, that's one of the reasons why 1.5 years ago we decided to [bench proceeds] in foreign jurisdictions. The exposure of the company to the Colombian peso will be reduced quarter-by-quarter as Germany and the UK start to come up with different sales and the same as the Mexican peso and the Brazilian real. So this is very short term, and this is more of a translation risk. And so we are not concerned about that. And I want investors to understand that this diversification of revenues is the entire reason we got also into Germany and the UK almost 1.5 years ago.
Chris Naprawa: Yes. There's a question here from Steven about our run rate. He's thinking that our math is that we've only got a couple of quarters left.  I think, Steven, you might want to recheck your numbers there. We used just over $3 million in cash in the quarter. And we have $20 million in cash and no debt. So there's ample cash on the balance sheet for guys to understand that we raised this money to grow, okay? We can disagree on the timing and the pricing and all that stuff. We raised the money because we are committed to growing this business, and we can see a massive opportunity in front of us. There's a couple of questions in here just about share price and share performance. And folks, we are the largest shareholders individually, and we care a great deal about this. Our answer to that is our 100% focus is on execution. And only with execution do we think we'll see meaningful share price improvement, but we are all committed to it. We are all hugely exposed to it, and we're doing everything we can to execute every single day as you can see. And the leadership position that we have in these markets -- no one else has done it. Go ahead. Go ahead.
Alvaro Torres: I want to furbish on that note. I mean as Founder, Co-Founder of the company, it's, of course, very difficult time to see that the lack of appreciation comes sometimes about what we do. But I also believe that this is a marathon that we're winning that marathon because we have the best pace. Sometimes you talk about profitability and people think about revenues. We have to start looking beyond that. You have to start looking at new patient acquisition, how much profits are we making and whether that's going to get us to that 1 million patients that I talked in 2024. When we look at the way that we're growing and how many patients are returning, how many patients are buying, the average annual expense per patient which is now between Europe and LatAm by about $1,000 per year, that's how we get to the $100 million of revenue. And there's no metric in this company that is not growing. And I think that while we put out this MD&A this quarter with all these details to show you that in every metric, we are growing. And so I think the market needs to -- we'll continue to start appreciating that level of execution. When we think about international markets, we always see they may be slower, they're not as fast as the U.S., and that is absolutely true. But we look at it in 3 years from now, I can tell you this is going to be the fastest market in medical cannabis and is not going to happen just by its own. It's going to happen because there are companies like Khiron, who are building that demand, who are building that access. And then when you think about insurance coverage, right, and we think about the black market, look at a company that's now selling 2 countries that have full medical insurance that we don't have to reduce our price. We are doing something special. Now how long does it will take the market to understand it? I'm not really sure. But what I know that we are doing is actually good executing every day. Anybody that comes to Zerenia in Colombia from Dr. Eduardo from Brazil to the Dr. Zerenia, knows that we're building something very special that we'll be able to grow and grow and grow. And when I tell you that we are the absolute clear leaders in the Colombian domestic space, this is just the first inning of the first game of the world series. So it's not something that we can absolutely control. I can't control the fact that no insiders have sold the stock since we founded it. But because we believe in this, we believe this is going to be a $1 billion opportunity. It just takes a little bit of patience. But if we were just selling commodity price and trying to sell as much as we could, as cheap as we would, that's not going to be the way that we're going to grow our company today, 100 to the 1 million patients or the 100,000 patients. So we just have to be very disciplined as we are, be able to collect our revenues, which are very important to our cash burn. Every day, more insurance companies are including this and that takes a longer collection period. But now we're getting that cash back from our clients. And that is the road that we have to take on because 2 years from now, we'll look back at this and say, well, what a good opportunity it was to get on the most dominant play in Latin America, at the moment when the market wasn't appreciating it. But we are long-term shareholders. We're here to stay. We're here to make sure that every patient that we can get serviced, I think, we are very proud of every work that we've done, even in the worst of circumstances. So you can imagine what will happen to this company when things start to ease up. So I think we have to look at it on a different view. And with the cash that we have, we're not trying to -- we're not looking to raise any more. But right now, it's all about growth mode, how many clinics in Mexico, how many partnerships, how many clinics in the UK, soon we will have the most dominant medical catalyst clinic network in our markets. I think that's very exciting.
Chris Naprawa: All right. And with that, I think, we're right at the end of the broadcast. I do remind everybody to take advantage of the website, investors.khiron.ca. We respond to all our e-mails, we respond to all our questions. And I think that's it for today. Thank you very much, everybody.
Alvaro Torres: Maybe just one last question we have here from Fran talking about the stock, and he's been asking many quite times. Fran, I'm not selling stock, Chris is not selling stock. I haven't sold a single stock since we started, even though we no longer have lockers. I think in the end it's about commitment to the company. Who's selling the stock? Investors who don't understand that well, this will go very, very big. But I think after looking at Q2, we start looking at the right numbers that we put out, we start seeing a lot of growth and a lot of profitability and people start making their own calculations, start telling you, this is what our guidance looks for. This is what our 2022 revenues can look like, give me any multiplier, I think this company is way undervalued. But we have to prove it, and we'll show it to you at the rest of day of the investors to know that we are going to get to those points and that the comparables in the market today, which are probably much more valuable, this is not 100 million patients, these are marathon, and this marathon is about who's got the best pace. And at that pace, I think, we're certainly winning, and very certain market will start to appreciate every single metric that we put out. So I can tell you that we have a very committed management team starting from Chris, myself and the rest of the executives and the rest of the team that's worked here. And nobody here that got 1,000 shares on the last -- obviously who is thinking of selling at this price, is about building equity and building a long-term future. So on that, you can be -- investors can be comfortable that we are here to stay and we are working very hard. And eventually, very soon, the market will start to appreciate the level of execution these companies have. So I think with that, Chris, sorry, I cut you off, Chris.
Chris Naprawa: No, that's all right. That's all right.
Alvaro Torres: We'll wrap it up. Thank you so much, everybody, for joining us today. And as I said, if you have more questions, there will be -- you can write at investors@khiron.ca. Paola Ricardo, our Investor Relations Manager, will try to answer any questions that you may have. We are a very transparent management team. We've answered as much questions as we can. And well thank you so much for believing the company, and we'll see each other very soon talking about all these successes and all the PRs that we'll be launching based on the catalysts that we talked about today. So thank you so much. Have a great day, and see you later. Thank you.